Operator: Hello, everyone, and welcome to the Heineken Half Year 2023 Results Call. My name is Daisy, and I'll be coordinating your call today. [Operator Instructions]. And I would now like to hand the call over to your host, Federico Castillo Martinez, Director of Investor Relations, to begin. So Federico, please go ahead.
Federico Castillo Martinez: Thank you, Daisy. Good afternoon, everyone. Thank you for joining us for today's live webcast of our 2023 half year results. Your host will be Dolf van den Brink, our CEO; and Harold van den Broek, our CFO. Following the presentation, we will be happy to take your questions. The presentation includes forward-looking statements and expectations based on management's current views and involve known and unknown risks and uncertainties and it is possible that the actual results may differ materially. For more information, please refer to the disclaimer on the first page of this presentation. I will now turn the call over to Dolf.
Dolf van den Brink: Thank you, Federico, and welcome, everyone. I would like to start with a quick reminder of our Green Diamond. This is how we measure the success of our EverGreen strategy. It embodies the balance we aim to attain. We continue to focus on our EverGreen priorities and to invest for long-term sustainable value creation, balancing growth, profitability, capital efficiency and sustainability responsibility. In the first 6 months of 2023, we prioritized and delivered the front-loaded pricing required to offset unprecedented input energy cost inflation across all markets. In Europe, the region with the highest inflationary impact, volume declined in line with our expectations, yet demand in APAC was considerably softer than foreseen due to an economic slowdown and our own performance in Vietnam. Our overall financial performance in the first half of the year was below expectations, driven by the challenging results in our most profitable APAC region. At the same time, we increased investments behind our brands and capabilities with marketing and sales investments, up by €0.2 billion globally to drive future growth. We expect a strong turnaround in operating profit growth in the second half as pricing moderates, volume trends gradually improve, and we accelerate our delivery of cost savings. For the full year, we have updated our outlook and we now expect stable to a mid-single-digit operating profit organic growth. Let's take a closer look at the key financial highlights. Net revenue grew 6.6% organically versus last year, benefiting from inflation-led pricing, more than offsetting the volume decline. Revenue per hectoliter grew organically by 12.7%, driven by pricing for inflation and positive mix from premiumization. Total beer volume declined by 5.6% organically and shortly, I will provide more detail across the regions. The Heineken brand grew 3.7%, excluding Russia, significantly outperforming the beer portfolio. Operating profit declined by 8.8% and the margin was 13.4%, down 260 basis points versus last year. Net profit declined slightly ahead of operating profit organically and the diluted earnings per share ended at €2.03. Higher financing costs were offset by lower taxes and minority interest and higher share of profits from associates with a strong performance of CRB. Harold will speak later in great detail about some of these financial highlights. I will now turn to the regions, starting with Europe. Net revenue grew strongly by 8.9%, with price/mix up 13.5%, primarily driven by pricing ahead of the industry to cover the disproportionate impact of inflation on our cost base on the back of improving brand power. Beer volume declined organically by 4.8% versus last year, broadly in line with our expectations. The on-trade was up, benefiting from reopening tailwinds in the first quarter and off-trade declines losing share in some markets because of earlier pricing ahead of the industry. The premium portfolio outperformed, led by our next-generation brands, including Gallia, Birra Moretti and El Águila, which grew by a low single digit. Overall, we gained or held market share in over 1/3 of our markets with improving trends in the second quarter. Operating profit declined marginally, remarkable in the context of the inflationary pressures in the first half and a large increase of our investments in our brands. In addition to the strong pricing, we delivered significant cost savings from our supply chain transformation program. Moving on to the Americas. Net revenue grew organically by 8.6%, mainly driven by Mexico and Brazil. Organic beer volume declined by 1.5%. The price/mix grew by 11.3%, driven by pricing and the continued premiumization of our portfolio, particularly in Mexico, Brazil and Ecuador. Operating profit declined by 1.8% as revenue growth was offset by inflationary pressures on our product costs and a significant step-up in marketing investment in Brazil, Mexico and the U.S. In Mexico, net revenue increased organically in the low teens, driven by pricing, partially offset by a low single-digit volume decline due to the mixing of OXXO, now complete and in its last year of impact. The premium portfolio outperformed, up in volume in the high teens, led by Heineken Silver. Our sixth route to consumer continued expanding to reach more than 16,500 stores in the first half. In Brazil, net revenue grew in the low teens, beer sales volume was stable, outperforming the industry while pricing ahead of the industry. Heineken continues that's the #1 beer brand by value in the off-trade and is now also the second largest beer brand in the total market by value. Amstel, the #1 brand in the pure malt mainstream segment, continued its strong momentum and grew in the low 30s. Heineken USA shipments were down high single digits, while depletions were down by low single digits, outperforming the market in the second quarter. Heineken grew in depletions, driven by the launch of Heineken Silver with encouraging early results in distribution build-up and rate of sale. Heineken 0.0 continues to be the #1 non-alcoholic beer brand by value in the U.S. and was up mid-teens. Moving on to AMEE. Net revenue grew organically by close to 10% as a decline in the beer volume of 6.5% organically was more than offset by strong price/mix growth of 16.7%, driven largely by pricing with inflation and further boosted by premiumization. The premium beer portfolio declined in the low-teens driven by the decline in Russia. Excluding Russia, the rest of the region registered low single-digit growth in premium. Operating profit declined by 5.1% as strong pricing and productivity gains mostly offset the impact from lower volume inflation and transactional currency effects. In Nigeria, net revenue grew low single digits driven by pricing to partially mitigate inflation. Total volume declined in the low 20s with consumers' purchasing power and the heavy pressure from inflation, cash shortages and the effect of structural economic reforms. Although these reforms have short-term impact on business and consumers, we believe they are beneficial to the long-term growth prospects of the country. Despite these challenges, premium beer volume was broadly stable. Important to note that if we were to exclude the impact of Nigeria in the first half, beer volume would have been up low single digits organically in the region, with broadly the same operating profit performance given the impressive actions of our Nigerian organization to rightsize the business to the new reality. We also received positive news that the government has reversed its decision to significantly increase excise duties this year. In Ethiopia, volume was up in the low 20s, extending our market leadership with Harar, Bedele and Walia all outperforming. The premium portfolio volume was up close to 40%, led by Heineken and Bedele especially. In South Africa, volume was impacted by a brewery disruption in the first quarter and the impact of power outages on consumer demand. Pricing was ahead of the industry, particularly on Amstel with impact on our market share that is now being addressed. Heineken continue to drive premiumization and grew volume by mid-single digits. Finally, we are making good early progress on the integration of Distell and Namibian breweries. Moving on to APAC. We had a very challenging first half in the region. Beer volume decreased organically by 13.2%. Net revenue declined by close to 7% with price/mix up around 5%. Operating profit declined by 34.4% organically, essentially driven by Vietnam. Deep diving in Vietnam. Volume declined by close to 25% for 3 key reasons. Firstly, the economic slowdown impacted our strongholds in the premium segment disproportionately. We estimate that the total market was down by high single digits in the second quarter. Secondly, more than half of the volume decline was a result of the destocking of the tax overhang. Our distributor stock levels have largely normalized and our volume exit rate of June was close to the overall market decline in the quarter. Thirdly, down-trading, exacerbated by our pricing ahead of the market, particularly for Tiger, which we are currently addressing to restore consumer affordability. Overall, on a sell-out basis, our performance is broadly in line with the market with stable share in premium while we gained in its mainstream. Mainstream brands like Bia Viet and Bivina grew double digits supported by the expansion into regions outside our strongholds. In India, we have seen the impact of deliberate route-to-market changes in certain states, as we are bringing UBL fully within our control. Excluding those states, beer volume grew by mid-single digits. Whilst overall disappointing performance in APAC, very positively, we continue to make strong progress in China. Heineken volume grew close to 60%, driven by the strong momentum of both Heineken Original and Heineken Silver. Let's now look at progress on our EverGreen priorities, starting with premiumization. Overall, premium beer volume declined by 6.5%, driven by Vietnam and Russia. However, beyond these markets, premiumization trends remained strong as premium volume grew low single digits ahead of the total beer portfolio in aggregate in the majority of our markets. In this slide, we are showing this view for the regions, and you can see a similar relative outperformance of the premium portfolio when compared to mainstream and economy consolidated beer volume. In Europe, premium beer improved 80 basis points in the mix, and our next-generation brands, including Gallia, Birra Moretti and El Águila grew volume low single digit. As previously mentioned in the Americas, we have impressive momentum on Heineken in Brazil as we continued the portfolio transformation. More than 75% of our volume is now in the premium and mainstream segments. In AMEE, despite the challenges in Nigeria, we see the biggest contrast with premium gaining 400 basis points in the mix and remarkably in Nigeria, Desperados doubled its volume versus last year. Finally, in APAC, excluding Vietnam, other markets grew premium beer high single digits. If we include Vietnam, this figure would be a low 20s decline. However, maybe somewhat surprisingly, in Vietnam, our low bitterness premium beers, Heineken Silver and Tiger Crystal continued their strong momentum with volume up in the mid-teens and high-teens, respectively. Moving on to brand Heineken, which continued to lead our portfolio and grew volume by 3.7%, excluding Russia, 1.7% including Russia in the first half. Growth was broad-based across 50 markets, most notably in China, Brazil, Mexico and Ethiopia. Heineken 0.0 also grew 5.2%, excluding Russia, further strengthening its leadership position in the non-alcoholic segment. Heineken Silver is now present in 45 markets and grew volume by more than 45%, led by China, Vietnam and Mexico. And indeed, in China, the momentum is impressive with 60% volume growth. Improving brand power, China is now the second largest market globally for brand Heineken. We're proud that Heineken Silver and Heineken 0.0 are all contributing to the growth of the brand as we celebrate on the 50th anniversary of the brand. Once again, our creativity and execution was recognized at Cannes, where Heineken was awarded 12 Bronze, 7 Silver and 1 Gold Lion for The Closer campaign. Heineken was the third most awarded brand over all categories, happy birthday indeed. We are also investing behind our ambition to become the best-connected brewer. We continue to expand our eB2B platforms. And by the end of the first half, we captured €5.2 billion in gross merchandising value, an increase of 36% versus last year. This means we have surpassed over €10 billion over the last 12 months and are well on track to reach our ambition of over €15 billion, of course, merchandising value by 2025. We now connect more than 550,000 active customers in fragmented traditional channels, an increase of 31% versus the same period last year. As an example, in Brazil, we continue to build scale and now connect over 150,000 active customers, 46% more than at this time last year. This translates into 20,000 customers placing orders per day. We're accelerating our deployments in Brazil beyond our direct customers and into our indirect distribution network of resellers. We continue to migrate our eB2B platforms under a single brand name and identity: eazle, business made easy. Nine of our operations in Europe have already migrated, enabling better features at scale, improved customer experience and increased efficiency. Finally, let's move to our Brew a Better World strategy to drive progress towards a net zero fairer and more balanced world. We're making good progress across all three pillars and are building executional momentum to deliver our ambitions. Please note, the results from these graphs for the half year are illustrative to show our progress as we report progress annually. Environmental. We continue to reduce our absolute carbon emissions in Scope 1 and 2 on the way to our ambition to reach net zero carbon emissions in production sites by 2030 with strategic investments in projects, including the following: together with Signify, Nobian and Philips, we opened an onshore wind farm in Finland in June. The virtual power purchase agreement will generate renewable electricity to power 27 of our European production sites for the next 10 years. We're committed to launch Project Circle, which uses technology that extracts high-quality proteins from spent grain and uses the remaining fibers as biofuel in our breweries. We also announced an investment of GBP 25 million into our Manchester brewery to install heat pumps that will reduce our need to source gas for heating. We continue to focus on healthy watersheds via water efficiency, water circularity and water balancing. We have implemented more than 150 initiatives to reduce water consumption in 2023 across sites with a further 800 plus under execution. Social. We are making good progress when it comes to gender diversity. Our goals are for Heineken to become a more gender-balanced company with 30% of our females in senior management positions by 2025 and 40% by 2030. At half year, we continue our good progress towards our 2025 goal with 28% females in senior management on responsibility. I'm personally delighted with our new partnership between Heineken and double Formula One World Champion Max Verstappen in the new global When You Drive, Never Drink campaign to encourage consumers to make the right choice when it comes to selecting a designated driver on a night outs. And with that, I would like to hand over to Harold.
Harold van den Broek: Thank you, Dolf, and good day to you all. I will take you through the main drivers of our half 1 financial results and our outlook statements with some color on how we see the second half of 2023.  Starting with our top line performance on Slide 15. We posted an organic growth of €0.9 billion or 6.6%, reaching €14.5 billion net revenue. As Dolf mentioned, we prioritized and delivered the pricing required to offset inflationary pressures on our cost. This resulted in net revenue per hectoliter increasing by 12.7%. The underlying price/mix on a constant geographic basis was 11.8%, driven by pricing of 10.8%, broadly in line with the weighted average inflation of our markets. The mix component was positive 1% from premiumization held back by Asia Pacific. The consolidated volume on an organic basis was down 5.4%. The decline was more pronounced in the second quarter, 7.3%, and this was due to a combination of the cumulative effect of front-loaded pricing actions taken and a challenging economic backdrop in some markets affecting consumer demand. Over half of the organic volume decline in the first 6 months can be attributed to our underperformance in Vietnam and socioeconomic volatility in Nigeria affecting consumer purchasing power. Volume in the Americas region were slightly negative in a softer beer market, notably in the second quarter, combined with the continuing impact from OXXO mixing in Mexico now in its last phase. Volume in Europe performed broadly in line with our expectations. The translation of foreign currencies had a negative impact of €91 million or 0.7% for the first 6 months driven by the Nigerian Naira, Egyptian Pound and other currencies, partially offset by a stronger Mexican Peso. I do want to emphasize that using current spot rates applied to the results of last year, the negative effect of translation will significantly increase to about €800 million for the full year, mainly due to the devaluation of African currencies. Consolidation changes represented €231 million or 1.7%, mainly Distell and Namibia Breweries in Africa and Beavertown in the U.K. Moving on to Slide 16. Operating profit came in at €1.9 billion for the first half year and start with organic growth. This €0.9 million of organic net revenue growth on the previous page was more than offset by incremental costs and investments, resulting in a decline of €189 million operating profit organic growth for the half year. Let me first touch upon the cost elements. Importantly, we continue to invest behind our brands and funding our EverGreen strategic priorities also when we face short-term headwinds. To illustrate, the operating profit organic decline is broadly equivalent to the incremental investment in marketing and sales to support future growth. This amounted to an additional €178 million or 14% increase organically, a significant step-up behind our brands, particularly in America and Europe. Marketing and sales investment as a percentage of revenue reached 10% despite lower volumes, an increase of 60 basis points versus the same period last year. Input, transport and energy costs in aggregate grew organically in the mid-teens on a per hectoliter basis, driven by higher commodities and energy prices reflected in our hedge positions. This mid-teen inflation is somewhat lower than what we anticipated at the start of the year, helped by a higher mix of returnable packaging and better structural cost savings. This allowed us to progressively and selectively adjust our pricing plans still with the aim to cover the inflation on a euro-for-euro basis, whilst remaining competitive. Now turning to regions. Asia Pacific, our most profitable region was the main driver of our operating profit organic growth decline, down by €219 million or 34% and mainly driven by the volume decline in Vietnam. The Africa, Middle East and Eastern Europe region saw a modest operating profit organic decline of 5.1% as strong cost and productivity initiatives were taken to streamline our business in Nigeria to adjust to the lower consumer demand and to counter inflation and currency devaluation effects. In the Americas, higher investment in marketing and sales in Mexico, Brazil and in the U.S.A. was the primary reason for the small profit decline. In Europe, operating profit was broadly in line with last year, with a step-up in investments behind our brands and despite very high input and energy costs related to inflation, well above the company average. This strong result was delivered by price-led revenue growth and significant cost savings from our end-to-end supply chain transformation and productivity programs. Our operating profit margin for the first 6 months was 13.4%, 260 basis points down compared to the comparative period last year, driven by the organic performance and the dilutive effect from the consolidation impacts. Transactional currency effects, currency translation and consolidation impacts all had a small impact for the results for the first half. Now let me cover some other key financial data on a beia basis on Slide #17. First, our share of profits from associates and joint ventures grew 14.6%, primarily from profit growth of CRB in China. Net interest expenses increased organically by 33% to €255 million, reflecting a higher average net debt position and an increase in average effective interest rates to 3.2%. Other net finance expenses amounted to €100 million, driven by derivatives related to revaluation of long-term green energy contracts as prices retracted from the peak last year and from revaluation of foreign currency payables. Net profit declined by 11.6% organically to €1.15 billion. The effective tax rate was 28%, it's about 80 basis points lower than last year. The decrease was mainly driven by a lower amount of losses for which no deferred tax assets were recognized. All in all, this resulted in an EPS decline to €2.03. In line with our dividend policy, interim dividend is set at 40% of the total dividend of the previous year. And therefore, an interim dividend of €0.69 per share will be paid, up 38% versus last year. Finally, our net debt-to-EBITDA ratio increased temporarily to 2.7x. In the second half of the year, this will revert to below the company's long-term target of below 2.5x. Let me now turn to free operating cash flow. We recorded a cash outflow for the first 6 months of the year of €467 million, a €1.5 billion change from last year. Let me upfront state that I expect a much improved cash delivery in the second half of the year as there are significant phasing elements in these numbers. And this includes the change from accelerated growth in materials scarcity seen last year to slow down in excess inventory in the first half of 2023, also affecting our payables position. Cash flow from operations before working capital changes was lower by €155 million, driven by the lower operating profit and including a reduction in restructuring provisions of €30 million. The working capital movement was €794 million lower than last year. Aside from the phasing already mentioned, very noticeable in APAC. There was also some impact in Europe as we prepared for the now announced brewery closures. Overall, CapEx in the first 6 months was close to €1.5 billion, an increase of close to €0.5 billion versus last year. This mainly reflects payables made related to investments from last year. Investments made in the first half of '23 amounted to €0.9 billion, and we expect to remain in line with our guidance of below 9% CapEx as a percent of revenue . Cash for interest, dividends and tax increased in aggregate by €188 million, mainly from higher income taxes paid. Let me now turn to the outlook for the rest of the year in the next slide. Our EverGreen strategy is a multiyear and multifaceted journey to future-proof the company and deliver superior, balanced growth for long-term value creation. We have executed our plans in line with our EverGreen priorities, continued investments and are making clear progress in building a premium portfolio, driving consumer-centric innovation, digitization, sustainability and improving productivity. In the second half of '23, we expect significant improved operating profit growth, inclusive of: a lower pressure from inflation, and I will elaborate this -- on this in a moment; pricing starting to moderate with volume trends gradually improving to a low single-digit decline; an improved outlook in Vietnam and Nigeria relative to the significant disruption in the first half; a similar absolute level of marketing and sales expenses when compared to the first half; and productivity savings in excess of €300 million, cumulatively bringing us well ahead of the €2 billion gross savings target. Overall, our updated expectations for the full year of '23 is stable to a mid-single-digit operating profit organic growth. We also anticipate an average interest rate for the year of around 3.2% and assumptions on CapEx and effective tax rates are unchanged. Let me now touch on a few elements that shape the second half financial outlook. First, our variable cost between brackets because it's determinant we don't normally use. But in this definition, covers our input, our raw and nonreturnable packaging materials, our transport and our energy and water costs. We incurred mid-teens inflation in these costs on a per hectoliter basis in the first half. In the second half, we expect some lower levels of inflation, mainly due to a lower transportation and energy costs and only a small benefit from lower commodity prices, given our hedged positions. In addition, we continue to deliver significant gross savings, including, for instance, reducing imports of glass bottles to Brazil leveraging supplier partnerships having brought new dedicated capacity online to support our growth. Our productivity program also remains firmly on track. The graph on the left shows over €200 million gross savings delivered in the first half of '23, enabling increased investment behind marketing and sales. To illustrate, I referred earlier to the streamlining of our business in Nigeria. They have lowered the breakeven volume threshold by 20% versus last year, important to mitigate the challenging economic conditions and providing a significant opportunity when growth momentum is restored. All OpCos have clear sight of cost savings and productivity initiatives and are driving towards realization in the monthly drumbeat. Next to that, we see an acceleration in Europe driven by our supply network transformation, which will by itself deliver over €200 million gross savings this year. It is focused on boosting operational excellence, taking non-value-added complexity out and transforming our production and logistics footprint in Europe, resulting in the announced closure of 7 breweries to date. This put together makes us confident we will deliver more than €300 million gross savings in the second half. By the end of the year, we will then have achieved our €2 billion gross savings target versus the 2019 cost base as the right side of this slide illustrates. But more importantly, we have well-defined plans and a way of working that secures the committed €400 million cost savings for the years to come. Therefore, let me summarize our outlook for '23 and glimpse into 2024. We updated our profit growth expectations to stable to a mid-single-digit operating profit growth in beia terms. This means an acceleration of our financial performance in the second half. To start, we will continue to invest in our brands and behind this EverGreen strategy, yet pricing will moderate as we see lower levels of inflation ahead of us and as we front-loaded our pricing actions. We expect volumes to progressively improve towards a single-digit decline and see our productivity savings accelerate. Looking further ahead, the unprecedented commodity and energy cost inflation in recent years will be partially reversed next year, easing the pressure on pricing. Together with the structural changes we are making with EverGreen, we are confident this will set us up for a balanced growth delivery in '24, while we remain cautious about the macroeconomic and geopolitical environment. Our strong cost and productivity efforts will continue and enable further support behind our growth agenda, fund investments behind EverGreen and contribute to operating profit growth. Therefore, our medium-term guidance of superior balance growth with operating leverage over time remains unchanged. With that, I would like to hand back to Dolf for a closing comment.
Dolf van den Brink: Yes. Thanks, Harold. Actually, I'm sure there's many questions. So for sure the maximum amount of time, let's go straight to the Q&A. Operator?
Operator: [Operator Instructions]. Our first question today comes from Edward Mundy from Jefferies.
Edward Mundy: The first is on Vietnam. And you've seen over the last decade the capital consumption in Vietnam really performed very, very well from, I guess, under 30 liters per person, the GFC to sort of mid-60s ahead of COVID. And we saw a big drop off during COVID, but we're only really back to pre-COVID levels today, 66, 67 liters per Euromonitor. Has anything fundamentally changed with regards to Vietnamese beer market, for instance, around regulation of competition, which would sort of change the medium-term growth picture for you for that market? That's the first question. And then second is sort of the H2 turnaround and profit, probably for Harold. And there's still quite a wide range based on your guidance of flat to mid-single digits. I was wondering if you could help us how do you think about the upper end of that range or the bottom end of that range? What are the key variables in your mind?
Dolf van den Brink: Very good. Thanks, Ed. So let me take the question on Vietnam. Yes, let's be crystal clear. The performance of Vietnam was disappointing. It had a huge impact, as Harold was saying, both on our volume as well as our profit decline, 80% of that was attributable to Vietnam. We remain very confident in the fundamentals of Vietnam. If you look to Vietnam over the last 30 years, if you look to current urbanization levels, economic growth, demographics, all of the fundamentals are and remain strong. We do believe the country is going through a short-term cycle of economic disruption. We have seen this once before in 2008 going into the financial crisis. This is both the manufacturing industry impacted export jobs being impacted. There's also a political crisis simultaneously. So it's kind of a couple of elements coming together, which are impacting the short-term volumes in the industry. Truth be told, on top of that, for us, it was exacerbated by a huge overstocking going into the year, the pivot of very fast growth last year, which was part of the rebound of COVID. And on top of that, we were growing a lot of share. And just to remind ourselves, we were growing 43% volume last year. And we were really kind of, yes, assuming not necessarily that kind of growth, but for sure, we were assuming growth. And then when the market decelerated early in the year, we were called out and it basically took us to the half year point to destock and to normalize our stock levels. This has had a huge impact on our relative performance. Over half of the volume decline attributable to the destocking. Then there is a slowdown in the market related to economic circumstances. Again, that we believe to be temporarily and that will recover, for sure, next year. For this year, we choose to remain cautious. The third element has been down trading, which was also exacerbated by us taking a price increase late last year, which was not followed by competition, which we have reverted by now. So the second half of the year, we are at the price points where we want to be. And as such, we do assume an improvement in the second half versus the first half, but it will not yet be a return to historic levels. If you look to the fundamentals underneath from a brand portfolio point of view, within premium, we are holding share. Yes, Tiger Original is losing share to mainstream. But Tiger Crystal growing double digits, the Heineken brand doing relatively very well. Heineken Silver still growing in absolute terms. And importantly, 5 years ago, we started to invest in mainstream. At that time, we were in the mid-single-digit share on the mainstream segment. Now in June, we hit a high point -- a historic high point of almost 20% share in mainstream, still below our fair share, but 4, 5x higher compared to where we were just 5, 6 years ago. And most of these brands are in growth. So we believe we have now a more balanced portfolio than we used to have at the time. And the worst kind of one-off of the destocking and missing the price point has been resolved by now. Now it's waiting to kind of for the economic circumstances to start normalizing as they did after 2008 as we remained very confident in the mid- and long-term prospects. Harold, over to you for the second question.
Harold van den Broek: Yes. Let me first start because your question is what makes the range. And let me first start with explaining the most important thing that we want to bring across in this call. It was, for us, super important to get the prices in to cover this unprecedented inflation that we saw. And we very deliberately went into this year knowing that, that had to be done. And you will have noticed that in Europe, the pricing was 14%. This is unprecedented. And therefore, the fact that our volumes are in line with expectations in Europe is a very, very important signal to us. We also, therefore, see now a slightly easing of the pressures as I just tried to explain, and that will bring some balance back between volume and pricing in the second half of the year. The second thing is that our growth savings projections are very, very clear. We talked about the €200 million in the first half of the year, but these are not ideas. These are concrete projects that have been put in motion. Decisions have been taken. And therefore, we got extremely good visibility about what is to land in the second half of the year. And that's why we were also very confident to call out that we see a significant acceleration on top of this €200 million saving. The third is what is the impact of the incidental events as we may call them, for example, this destocking in a slowing market, as Dolf has just clearly articulated, that was a big overhang that we needed to remove from that market. And the financial impact thereof will not repeat itself in the second half of the year. These are the things that we control and very much are on top of. To your point on what is the range, it really is about the volume that we see in the second half of the year. This is demand, our relative performance and weather. And that is effectively what we cannot control. But all the controllables are in place to deliver that step-up in the second half.
Dolf van den Brink: Yes. Maybe -- if I maybe add to what Harold is saying. One of the key things we want to do is to preserve our ability to invest in the business, to invest in our marketing and selling expenses in our EverGreen priorities. As you may have seen, we have invested almost €200 million incremental in the first half in future growth. And one of the key things that we're doing with this range is setting ourselves up to continue to invest and not to be cornered towards the end of the year where we would have to cut marketing and selling expenses to hit a number. You like -- you're used to us being a mid- and long-term oriented company, and that's what we really want to be.
Operator: Our next question is from Trevor Stirling from Bernstein.
Trevor Stirling: Two questions from my side, please. The first one, I appreciate that in the -- this half that's just passed, there's a lot of externalities and things that weren't expected. But I wonder if any learnings from the organization about how to monitor these things to react faster to them to maybe have not quite the same scale of impact. And the second question, looking forward to 2024, Harold, you talked about the commodity pressures partially reversing a return to balanced growth. Does that imply that you would expect some margin expansion in 2024?
Dolf van den Brink: Let me take the first one, Trevor. And your question on externalities and what can we learn, but first, let's be brutally honest that we are not pleased with the performance in the first half year. It's below our own expectations. And in a way, I know you guys like us to be consistent and boring and we were not consistent and we were also not boring, I think. So there's indeed a couple of these externalities that are affecting us disproportionately Vietnam, 80% of the profit decline, we didn't see that coming. Did we move fast enough in some extent we did, but when you're sitting on that kind of volume overhang that takes time to wash out, it took us probably longer than we'd like to, of course, correct on the pricing. So there, we are a bit self-critical. When you look to Nigeria, Nigeria and other very important externality with a brutal impact on volume, Vietnam and Nigeria together represent more than half the volume decline. Without it, we would have been low single digit down. The amazing thing in Nigeria, as I said in my script, is that we -- the local team moved superfast and very agile, offsetting a 25% volume decline and almost coming in at flat operating profit. So I think it's not one picture. In general, we are quite pleased with the agility that we have been building over the last few years. But we'd like to maintain it. And in a couple of instance, particularly on price points where we are a bit slow to adapt, you're never going to get them all right. We need to continue to up our game. I think that is fair. Overall, we have no regrets on the pricing. We said what we -- we did what we said we would do. We knew we needed that pricing. Between the pricing and the volume, the volume is impacted, but we'll come back with a delay of one or two quarters. The margin would never come back if we would not have taken the pricing, particularly in Europe. And then we're able to be disciplined and lock in the pricing and get it was the key priority at the beginning of the year. So it's a balanced picture overall, Trevor, and for sure, with a couple of learnings that we are for sure picking up with the team.
Harold van den Broek: Let me take the second one, Trevor. Your question is quite pointed to, do you expect operating margin in 2024? But I still would like to give the context of what we're trying to achieve. The first thing is that we really are aiming for balanced growth for long-term sustained value creation. You know that, but I need to say it because we don't want to just point out to an operating profit margin in 2024. What is the case is that we do continue to invest in our business as Dolf just also outlined also in the second half of this year, and this will not go away in 2024. We believe that EverGreen needs to have that space to really change this business from a portfolio, a digital, a sustainability point of view, and therefore, investments will continue also into 2024. Having said all of that, we're also looking at spot market trends and commodity trends, and we also see that they are coming off recent highs, and we've started already to hedge proportionately into 2024. So part of that lower cost base or less high cost base, if you take a little bit of a long term, is already starting to be covered in our hedge policies. The second thing that we noticed is that transport cost, particularly in the continental sea freight is starting to return to pre-COVID levels. And the third, very important for us, is that the self-help by really zooming in on productivity and gross savings to continue that will continue also in 2024. Now all of these elements together would give us some confidence that we achieved balanced growth and a healthier financial profile into '24. It will be too early to point to a number.
Operator: Our next question today comes from Simon Hales from Citi.
Simon Hales: A couple for me then as well, please. Harold, can I just come back to your comments on the key variables that drive that H2 organic profit growth range at the moment? You mentioned the easing of pricing and how that will help volumes through the second half, the efficiencies, accelerating the absence of the Vietnam destock. I suppose my question is, I mean, all of those factors, I would assume were known to you sort of 2 or 3 months ago when you were reiterating that mid- to high single-digit guidance range through May and June that you previously had, I just wonder what's changed in the last few weeks, therefore, perhaps in terms of how you're thinking about volumes in the second half? That means you are a little bit more cautious now, and that's prompted you to introduce that stable potential profit sort of growth element for the year. So that was the first one. And then maybe secondly, I wonder if you could just talk a little bit more about the performance of Mexico in the period. Clearly, Q2 saw a weaker performance than we saw in Q1. I wonder how you're performing against the market there. Is all of the slowdown or the relative share underperformance driven by the OXXO mixing? Or are you seeing some more aggressive competitive behavior there in the market with things like Bud Light that we've heard about?
Dolf van den Brink: Very good. So I'd take Mexico and if you then speak to the first question. So on Mexico, we're actually where we want and need to be. Performance in the first half year was solid with a kind of double-digit revenue growth, low single-digit volume, purely driven by the OXXO mixing. So underlying our market share stable. By the way, we aspire 2 more. So we'd like to be growing going forward. The good thing is the mixing in OXXO is now complete. All regions have been mixed. So in the beginning of next year, we, of course, still have the cycle. But yes, this event that has been with us for 4 long years has now come to completion. And as of beginning of next year, we have a normal base. And yes, we don't have this drag that we have had for such a long time. Underlying from a portfolio point of view, the premiumization, brand Heineken, Ultra, the development of the 6 retail formats, adding another 500 stores now to 16,500, all the fundamentals are heading in the right direction. And yes, we don't reveal profitability market by market, but profitability is really heading in the right direction in Mexico. So we're happy where we are, and we are, in particular, happy that OXXO mixing will now soon be behind us.
Harold van den Broek: And Simon, if I can take it from there. Yes, I think it's a super fair question, to be honest. And therefore, let me just illustrate what has happened, but mostly in the recent weeks. This is not something that we've seen evolving over time. The first one is that when we last spoke in quarter 1, we were still -- we were articulating this overstock from that very clearly. But we were still led to believe that the Vietnam economy was going to recover very quickly because all signs were there that there was going to be a short intervention in order to bring that back to growth. What you will have seen over the last couple of months is that every time measures have been taken, but they've also pushed out the time it will take for a more balanced recovery of the Vietnam economy given also the global slowdown and the dependency of imports and exports. And for instance, tourism in Vietnam is still a third lower than what it was before COVID. So just to point out that this is also evolving inside even for the policymakers in Vietnam. The second event was really the Nigeria interventions. Previously, we spoke about presidential and elections and the absence of bank notes. But since then, petrol prices have tripled because subsidies have been canceled, diesel subsidies have been canceled. And at this moment in time, a couple of weeks ago, we saw a 65% devaluation also taking effect. As Dolf indicated, all of this is good for long-term health, but it's short-term pain for long-term gain. And as a result of that, despite the fact that our Nigeria business is adjusting, this does have consequence for short-term consumer spendable income in Nigeria. Thirdly, weather -- hate to blame weather, so I'm not going to spend too much time on it. But too hot is not good, too cold and rainy is also not good. And this is a little bit the reality that we've seen unfolding in the last couple of weeks. And as importantly as the first 3, it's what Dolf just said. We really do not want to box ourselves in too tightly, compromising the investments and the pace of EverGreen. And all of this together has made us realize that it's better to be safe now rather than to compromise the long term of EverGreen.
Simon Hales: That's really helpful, Harold. And can I just clarify one more thing. You said in response to Trevor's question, you talked about hedging into next year for commodities, et cetera. Where are those hedges sitting H1 and H1? Are they lower year-on-year where you're signing contracts now?
Harold van den Broek: Yes. So we usually say we contract out about 12 months, and we do have, let's call it, a corridor of hedging that we take. So sometimes that's related to the first half, sometimes we slice that in pieces across the year. That depends a little bit on the forward premiums that we see. But by and large, you should assume that half of the commodities have now been locked in.
Operator: Our next question is from Richard Withagen from Kepler.
Richard Withagen: On marketing spending, I mean, you said you increased spending, especially in Europe and in the Americas. Can you also maybe mention the HY which kind of products that spending was? Was that predominantly Heineken Silver? Or are there some other specific products that you spend behind? And also, can you -- I mean, is there -- yes, your thoughts on increased marketing spending in order to justify the price increases. Or would that be too skeptical? Those are my questions.
Dolf van den Brink: Very good. Thanks, Richard. On the marketing spending, in the first stage of EverGreen, let's say, in '21, '22, we spent a lot of time working with the market or more focus, clearer priorities, spending your money against fewer brands, fewer priorities. That has really helped in increasing the punch on the key priorities at the time. But now we felt the need to really make sure that we invest in future growth. There's always a delay between marketing spend and seeing it back in brand power and seeing brand power conferred to volume. So the key thing is to be consistent -- to consistently increase over time. With COVID was, of course, a huge disruption to marketing spend levels in the industry, not just with us and we really want to get back on track with consistent, ever-increasing marketing and selling expense investments going up. Smartly spend and so not just spending for spending's sake, but after 2 years, we feel we're in a good place in that regard. We're starting to leverage AI and other kind of tech tools to continuously improve our game in that regard. On the link to pricing, well, this €200 million won't help us this year, but we do believe that brand power today is pricing power tomorrow. And if there's one priority behind the world marketing spending, it's our premium portfolio. That is the overarching #1. There's multiple priorities of EverGreen, but scaling of premium has been, is and will always be our #1 priority. And as you have seen in our results across the regions, consistently premium is outperforming. Whereby in the past, the company was -- we felt, Harold and I too, volume obsessed. We want to be more balanced in that regard. We also pay more attention to value, and premiumization is a key vehicle to do that. And again, the marketing investments are a key point. Let me give one example of a market. And in the U.S., we have significantly ramped up our marketing spend even though the market's P&L was heavily affected because our local pricing is basically determined by the other local domestic companies, while our input costs are determined by international ocean freight and our international transfer price coming out of Europe. So you can imagine there was a huge short-term impact in the P&L for our U.S. business. But rather than cutting ATL, BTL, we have actually significantly ramped up a short-term pain for long-term gain. We really believe with the momentum we are having on Heineken 0.0, the momentum that we're now gaining on sale for this was the moment to up our investments. Hopefully, that gives you a bit of further context on your question, Richard.
Operator: Our next question is from Rob Ottenstein from Evercore.
Robert Ottenstein: Great. I'd like to circle back to Vietnam and just a few follow-ups here. Could you Give us a sense of what your business mix looks like now in terms of premium mainstream or even better? What percentage is Heineken, what percentage is Tiger, what percentage is mainstream? Any sort of mix like that? So that's number one. Second, can you talk a little bit more about the competitive environment? I think if I heard you right that the competition didn't match or delayed matching on pricing. What's the status of that now? And then I know in the past, demand had been hurt, I believe, because of stricter driving, while consuming alcohol laws. Is that still a factor? And what sort of impact is there, there?
Dolf van den Brink: Thanks, Rob. So on the price segments, until, let's say, 5 years ago, 95% of our business, our portfolio where premium brands was basically Tiger and Heineken. And right now, premium is down to 64% of the mix and the remaining being our mainstream brands like Larue, Bivina and Bia Viet, which is now a national brand. So you see already a much better mix. Our overall market share is 40%, our market share within premium over 90% and our share within mainstream now up to 20%, but still ways to go. So we keep investing in diversifying our portfolio. On the pricing, that was particularly in relation to Tiger Original. And yes, where -- with the benefit of hindsight, we took a price step that left us outside of the historical price corridors on the gap between premium and mainstream. And we have since corrected that, especially since June, July, we are now where we need to be in that regard. On your question on the alcohol laws, indeed, that was launched just before COVID, and that was having some impact at the time. Then, of course, COVID disrupted all of this. And we have seen since the beginning of the year, a renewed focus on compliance with those drivers' laws, which has some impact. But we wouldn't want to point that out as a major factor in terms of what's going on right now. For us, it's more driven by the overall economic reset which, yes, may last through the end of the year. Again, we have seen something similar back in 2008, but we remain very confident in the mid- and long-term prospects of the Vietnamese market.
Operator: Our next question is from Carlos Laboy from HSBC.
Carlos Laboy: Well, at the other end of the spectrum of Vietnam is Brazil. And I was hoping you could talk a little bit about Brazil. It looks like you're getting pricing, you're getting market share. But you mentioned Amstel was up 30%. How are you set for capacity to keep pace with demand for Amstel over the next couple of years? Are you holding the brand back at all given all the resets that are happening in mainstream by your competitor? And what's your vision of Amstel's potential here?
Dolf van den Brink: Maybe, Harold, you can take that one. I've been taking...
Harold van den Broek: Carlos, good to hear you. We continue to be quite determined to create the portfolio that sets us up for long-term success. So you know that we've talked quite some time about converting the total portfolio to a premium and upper mainstream. And we do see continued double-digit revenue growth in Heineken in Amstel that is now growing into the 30s. So we're very pleased with the composition of the portfolio. Now we are making sure that we are keeping pace with our investments to support that growth. Partly, it's in our own brewery facility. So you will see that there's about 2 million to 3 million hectoliter coming on stream every year. And that is something that we will continue to do. And then we've just started the construction of a very big new brewery that will become operational in 2025. So we do have our growth mapped out between now and then and that new brewery facility in Passos will give us quite a lot of volume for the years to come. So we do think that we have got this under control. What is also important is that it's not only our own brewery, but the whole ecosystem and footprint around this. So we're also very pleased, as I just tried to articulate that more and more of our preferred suppliers are actually with us, so that not only do we create capacity, but we also don't need any longer to import huge amounts of bottle volumes and barleys, but really are starting to create an ecosystem that can sustain that growth and, therefore, increasing profitability on the path to come. So we're actually feeling very good about our Brazil plans, but also the momentum that we have.
Dolf van den Brink: Maybe on the profitability, one thing to mention is that actually by the end of this year, Brazil will be our third largest profit generator in the group. And we're still not where we want to be on the margins. But actually, this is starting to become, in absolute terms, a very meaningful and critical important strategic asset for the company. And we will continue to push for the margins. And so on that capacity expansion, Carlos, it's all about not too slow, but also not too fast. It's really getting the rhythm right. And I think, yes, we more or less are where we want to be in that regard.
Operator: Our next question is from Sanjeet Aujla from Credit Suisse.
Sanjeet Aujla: Dolf and Harold, a couple from me as well, please. Firstly, I'd just like to come back to Brazil. And particularly around Q2, there seems to be quite a bit of a slowdown there also in the premium portfolio, which we haven't really seen in recent years. So can you just talk a little bit about the Heineken volume momentum you're seeing there? And anything on pricing you can talk to us about? And then just more higher level as we go into 2024, there's been some instances in the first half where you've taken a lot of pricing and perhaps you're having to roll it back now. And as you go into a period of perhaps easier commodity costs, I'd just love to explore your pricing philosophy in that environment. Do you see other markets and brands where maybe you've taken it a little bit too far and you need to address and you're trying to sum that with lower input costs next year?
Dolf van den Brink: Thanks Sanjeet. So maybe Harold can speak to the pricing for the second half of the year. Let me speak to the first part of your question on Brazil. First of all, we continue to consistently outperform the market. What's true that's underlying, and we have also seen it is that the market went into a slowdown in the second quarter. But again, we have continuously outperformed and we were overall flat on the first half. And basically, we are continuing a bit with our strategy that we are willing to let go some of that super low-margin economy volume, but that we continuously grow our premium volumes, which were up again in our on-store mainstream volume. On top of that, we -- it's not just volume for volume's sake by segment, it's also the conversion to returnable. So one of the key things, and this was the key rationale for us to take brands Heineken, Amstel back into our own direct distribution was to really drive returnability, which we know is going to be critical for further market penetration into the on-trade, but also for the margins as we aspire to. So yes, overall, for us for market share from segment premium, Heineken, Amstel store, it all looks good, but we did see a bit of a market slowdown in the second quarter.
Harold van den Broek: And maybe just to add to -- because that was the second point about Heineken. Despite this market slowdown, which is indeed dipping into the negative, Heineken continue to grow. So I think that's an important substance to why we're still very pleased with our premium portfolio. And on the point on the pricing in half 2, I think we have been very clear and articulate about the fact that we really front-loaded pricing this year. So it had to be done also because we knew what the cost base was going to be and that the momentum of that inflation, that energy-led inflation was really happening at the start of this year. And therefore, we went quite bold and took the pricing that we needed in the first half of the year. Now when, therefore, the input costs are going to be less high in the second half of the year from mid-teens to low-teens, that also means that the pricing for that, by and large, has been taken.
Dolf van den Brink: We can still take a couple of questions. Yes. Let's continue.
Operator: Our next question is from Nik Oliver from UBS.
Nik Oliver: So two quick ones. Firstly, on the phasing of profits, just so I'm clear, the rebound in H2, it mainly encompasses. So as said, Nigeria, Vietnam and the other things that you talked about, just to give the market some confidence that we can meet the new guidance on profits. And then secondly, and looking into next year, when we think about Brazil, I think last time it was commented and publicly, that was 8%, maybe high single-digit margin market. How should we think about Brazil margins going forward, if that's okay?
Harold van den Broek: Shall I first answer financial question...
Dolf van den Brink: By all means, you can take the one -- let me just say it in my own words, Nik, on the phasing of product. I think there's a couple of things that we feel very confident about. We got the pricing that we needed and that was the big uncertainty was whether we were able to get the pricing that we needed and largely we have been able to do this, and we did it early in the year. So we have high predictability on the pricing. We have clarity on the input cost. And as Harold showed that we'll move from mid-double digit to low double digits. We have high confidence on the productivity, the gross savings accelerating from €200 million to at least €300 million in the second half. We do know that there were a couple of disruptions that won't repeat in the second half, a good part of the Nigeria related to the elections, the cash shortage, et cetera, and the word destocking of Vietnam. The large known is a little bit how the volumes will evolve. And we think they will moderate. We think they will move from that mid-single digit to low single digit, but that is the only part that is not fully predictable. We are currently in the summer in Europe. These months matter. Months like July, August do matter, and we know the weather does matter as well. So I would say 4 out of 5 key metrics. We have very high predictability and we're happy where we are. The volume equation is a little bit less predictable. At this point in time, we have managed the price points to where we want them to be. And yes, for us, and that's why we have set the expectation for the second half, as we said, we wanted to make sure that we didn't lose our ability to continue to invest for this year and the coming years. So yes, maybe a bit in my own words, but it's the same as what Harold said earlier, but that altogether gives us confidence in our guidance for the second half and that the profit delivery will be significantly better and it's all about setting ourselves up for a strong 2024. We don't want to do anything this year that would start jeopardizing or impacting one way or another next year. On the second question, I think it was related to Brazil, right?
Harold van den Broek: Indeed. And in particular -- right, Nik. And then in particular to the profit margins in Brazil also with the perspective to the future. Now you will understand that, that is information that I need to be a little bit careful about for a variety of reasons. But let me answer it in the following way. Firstly, we're extremely happy to see Brazil continuing to grow. And this is no longer, let's call it, an incident. This is really a pattern of growth that you see happening. And that means that the brands like Heineken, the brands like Amstel are starting to get to scale, but they also have a very high consumer appeal. Heineken is the #1 brand in the off-trade. It has the highest brand power of all the brands there. And there is still -- this is still a value share that we think can grow beyond what it currently is today. Because it has yet to reach the 10% threshold. So there is a lot more momentum to create in Brazil. Now with that, with the right portfolio comes also the right profitability structure because we're building the right mix in that growth. And when you have the right growth momentum with the right profitability structure, suddenly, scale becomes quite appealing, not only for us but also for our partners. And that ecosystem of growth behind sustained momentum, large scale, the right portfolio so that it can sustain actually gives us confidence that the path to that company average profitability that we've been talking about is fully mapped out, but also very doable. Maybe what also Dolf is articulating in his own way, this is already becoming a very important profit contributor to the Heineken Group. And of course, the license income from that -- from Amstel and Heineken. I'm sure that the Brazil team will be pleased to hear is also very welcome here. So all in all, there's a lot of good things happening in Brazil for many years to come.
Nik Oliver: Do you guess -- I mean, I guess there's nothing to think that maybe based at Brazil margins couldn't get to group average over time. Is that the right way for us to model?
Harold van den Broek: Yes. Let's agree not to speculate when over time means at the moment. But we have very clear road map on how we're continuing to grow profit, but also profitability in Brazil. Thanks, Nik.
Dolf van den Brink: I think we allowed more question by Federico. So one more question. Who is the last?
Operator: We will take our final question from Chris Pitcher from Redburn.
Dolf van den Brink: Either constant mute or he dropped off by now.
Federico Castillo Martinez: Chris, are you there?
Dolf van den Brink: No, let's jump to -- is there any other question remaining?
Operator: Yes, we can take a final question from Laurence Whyatt from Barclays.
Laurence Whyatt: Relatively quick one, I think, just in terms of your volume visibility into next year. You mentioned that the pricing will moderate as a result of the easier quality environment, but you also believe that volumes will decline slightly next year as well. Just wondering which markets do you think will be under the most pressure with regard to volumes. Is there anywhere in particular that we should be calling out as slightly weaker on that volume front?
Dolf van den Brink: Laurence, volume and pricing. To be clear, we are not aiming of having declining volumes next year in 2024. It's too soon to tell where they will land, but we are not assuming a decline in volumes for next year. And we will -- we do hope to see a sequential improvement from mid-single digit to low single digit to hopefully growth in next year. But again, too soon to say anything definite on it. As I said, we have taken the largest price increase in the -- well, the recent history, particularly in Europe, with that 13%, 14% pricing that will take a couple of quarters to kind of settle. For us, it's key now to also, in that sense, drive consistency on the price points and consistency on the investment level, the activity level and make sure that, indeed, we start seeing that sequential improvement starting to move through. And for sure, we do believe that some of these one-off disruptions will be behind us because our aim is, as I said at the beginning to be, a bit more boring. So hopefully, next year will be balanced growth and bringing consistency back and a bit less -- a little bit more boring. Hey, on that note, probably people need to start jumping off. Thanks all for being with us. And wishing you all a good summer. Take care. Bye-bye.
Operator: Thank you, everyone, for joining today's call. You may now disconnect your lines, and have a lovely day.